Executives: Geoffrey Weiss - Senior Vice-President of Investor Relations Gerald T. McCaughey - Chief Executive Officer, President and Non Independent Director Kevin A. Glass - Chief Financial Officer and Senior Executive Vice President Laura Dottori-Attanasio - Chief Risk Officer and Senior Executive Vice-President J. David Williamson - Group Head of Retail & Business Banking and Senior Executive Vice-President Richard W. Nesbitt - Chief Operating Officer Victor G. Dodig - Group Head of Wealth Management and Senior Executive Vice-President
Analysts: John Aiken - Barclays Capital, Research Division Stephen Theriault - BofA Merrill Lynch, Research Division Jason Bilodeau Michael Goldberg - Desjardins Securities Inc., Research Division Meny Grauman - Cormark Securities Inc., Research Division Sumit Malhotra - Scotiabank Global Banking and Markets, Research Division Mario Mendonca - TD Securities Equity Research Peter D. Routledge - National Bank Financial, Inc., Research Division Darko Mihelic - RBC Capital Markets, LLC, Research Division Robert Sedran - CIBC World Markets Inc., Research Division
Operator: Good morning, ladies and gentlemen. Welcome to the CIBC Quarterly Results Conference Call. Please be advised that this call is being recorded. [Operator Instructions] I would now like to turn the meeting over to Mr. Geoff Weiss, Senior Vice President, Investor Relations. Please go ahead.
Geoffrey Weiss: Good morning and thank you for joining us. This morning, CIBC senior executives will review CIBC's Q1 2014 results that were released earlier today. The documents referenced on this call, including CIBC's Q1 news release, investor presentation and financial supplement, as well as CIBC's Q1 report to shareholders can all be found on our website at www.cibc.com. In addition, an archive of this audio webcast will be available on our webcast later today. This morning's agenda will include opening remarks from Gerry McCaughey, CIBC's President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer, will follow with the financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will close the formal remarks with a risk management update. After the presentations, there will be a question-and-answer period that will conclude by 9:00 a.m. Also with us for the question-and-answer period are CIBC's business leaders, including Victor Dodig, Richard Nesbitt and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Gerry.
Gerald T. McCaughey: Thank you, Geoff, and good morning, everyone. Before I begin, let me also remind you that my comments may contain forward-looking statements. This morning, CIBC released record first quarter results with adjusted net income of $951 million, up 8% over the same period in 2013 and up 6% from Q4 2013. Adjusted earnings per share were $2.31 compared to $2.12 in Q1 2013 and $2.19 in the prior quarter. CIBC's adjusted return on equity was 22.1%. At the end of the quarter, our Basel III common equity ratio was 9.5%. This morning, we also announced the $0.02 increase to our quarterly common dividend to $0.98. This increase leaves us within our target payout ratio of between 40% to 50%. During the quarter, we've purchased and canceled approximately 1.4 million common shares under our previously announced normal course issuer bid. Our client-focused strategy delivered strong operating performance in each of our business units compared to the same period last year. Retail and Business Banking reported adjusted net income of $643 million, up 11% from Q1 2013. In December, we completed the sale of 50% of our Aerogold portfolio, consisting primarily of credit card only client. When we launched our new Aventura card last year, our goal was to offer our clients leading value and choice in travel redemption. The value proposition of our enhanced Aventura card is resonating well and CIBC is enrolling new clients at a pace well in excess of our expectations. Our quarterly travel reward card sales were the highest we've experienced in over a decade. Adding to the strength of our cards portfolio, we recently announced our collaboration with Tim Hortons to launch an innovative, co-branded credit card, which will offer instant Tim Hortons' loyalty rewards to CIBC clients on their everyday spending. In addition to our cards portfolio, we have begun implementation of our partnership with the Greater Toronto Airports Authority, which was announced in December of 2013. This multi-year partnership established CIBC as the exclusive financial services sponsor at Toronto Pearson Airport. David Williamson is here this morning to answer questions about Retail and Business Banking. Turning to Wealth Management. Q1 2014 adjusted earnings were a record $117 million, up 31% from the same period in 2013. As expected, our acquisition of Atlantic Trust, a U.S. private wealth management firm, closed in Q1. The acquisition has been well-received by both the employees and clients, with assets under management growing from $20 billion, when we first announced our intention to acquire Atlantic Trust in Q2 '13, to $24 billion at closing. Victor Dodig is here this morning to answer questions about Wealth Management. In Wholesale Banking, Q1 2014 adjusted earnings of $215 million were comparable with the strong prior quarter. In the Canadian equity new issue markets, CIBC led 26 deals and participated in another 56 in the first quarter of 2014. We were book-runner in 3 of the 10 largest deals priced in the quarter and participated in all of them. As a result, we ranked #2 in deals led in the quarter. Richard Nesbitt is here this morning to answer questions about Wholesale Banking. In summary, we've had a good start to 2014 with results that outperform the same period last year. We will continue to execute our client-focused strategy to grow our business and deliver consistent sustainable returns to our shareholders. With that, I would like to turn the meeting over to Kevin Glass. Kevin?
Kevin A. Glass: Thanks, Gerry. My presentation will refer to the slides that are posted on our website starting with Slide 5, which is a summary of results for the quarter. So we're very pleased with our results this quarter and the strong contribution from all of our business units. Adjusted net income for the quarter was $951 million, which resulted in adjusted earnings per share of $2.31. Our Retail and Business Banking franchise delivered another strong quarter with continued volume growth in core products and improved credit quality. Wealth Management had a record revenue in net income this quarter. And in Wholesale Banking, we continued to generate strong earnings. During the quarter, we had the following items of note: We booked a gain of $0.46 per share in respect to the Aeroplan transaction. As indicated in our webcast last quarter, we recorded a net gain on the sale of an equity investments in our European leveraged finance portfolio of $0.14 per share. We released a portion of the collective allowance recognized in our corporate and other segment of $0.05 per share, which included lower estimated credit losses relating to the Alberta floods. We made operational changes to the processing of write-offs in Retail and Business Banking, resulting in a charge of $0.05 per share. And we incurred a loss from structured credit run-off business of $0.02 per share and then as of other quarters, the amortization of intangible assets amounts to $0.01 per share. In aggregate, the impact of these items on our earnings netted to a gain of $0.57 per share. The balance of my presentation will be focused on adjusted results, which exclude these items of note. We have included slides which reported results in the appendix to this presentation. As announced earlier this month in our press release, we made a number of external reporting changes effective this quarter. The only restatement item that had an impact on earnings was a change in pension accounting, which was implemented retrospectively, and negatively impacted 2013 earnings by $0.13 per share. The other restatements resulting in a reallocation between of the SBUs or line items with no impact on net income. Moving to the details for each of our strategic business units. I will start with the results for Retail and Business Banking on Slide 6. Revenue for the quarter was $2.1 billion, up $37 million or 3% from the same quarter last year. We had solid gains in our core business lines, partially offset by lower revenue in the other segment due to the impact from the Aeroplan transaction. Looking at our individual lines of business. Revenue in the Personal Banking segment was $1.6 billion, up $102 million or 7% compared with the same quarter last year. This represented the highest organic growth rate in almost 4 years. Performance benefited from strong volume growth across CIBC brand products, which were up 8%, as well as higher fees and wider margins. We had strong growth in our higher-margin products. CIBC brand mortgage balances grew 16% year-over-year and 11% if you exclude the benefit from FirstLine conversions. Mutual funds were up 18% year-over-year and deposits were up 8%. Business Banking revenue was $380 million, comparable with the same quarter last year. Higher balances and fee income were offset by the impact of lower deposit spreads. Business Banking volumes continue to grow with average funds managed, up 5% year-over-year. The Other segment had revenue of $102 million in the quarter, which was down $43 million compared with the same quarter last year, largely due to the impact of the Aeroplan transaction. The provision for credit losses in the quarter was $184 million, down 24% on a year-over-year basis. The decrease was largely due to lower write-offs and bankruptcies in the cards portfolio. Each of our consumer and Business Lending portfolios in Canada performed extremely well this quarter. Laura Dottori will discuss credit quality in her remarks. Our non-interest expenses for the quarter were $1 billion, up 3% from the prior year, primarily due to our continued investment in the business, including an increase in our front-line stock. As previously disclosed, we have incurred nonrecurring costs in respect to the Aeroplan transaction, as well as the development of our enhanced travel rewards program. We expect to spend approximately $40 million in the remainder of fiscal 2014, the bulk of which will be in Q2 and Q3. Net income was $643 million, up $61 million or 11% compared with the prior year. Net income was up 15%, adjusting for the Aeroplan sale. Net interest margin or NIM was 261 basis points for the quarter. This was down 2 basis points from the last quarter, but if you normalize for the Aerogold credit card sale, NIM was actually up 2 basis points sequentially. Looking ahead, the Aerogold sale will reduce NIM by a further 5 to 6 basis points. Turning now to Slide 7. Wealth Management had a very strong quarter with record revenue and net income. Revenue was $504 million, up $72 million or 17% from the same quarter last year with strong performance from all business lines. Retail brokerage revenue of $284 million was up $25 million or 10% compared to the prior year due to higher fee-based and commission revenue. Asset management revenue of $174 million was up $30 million or 21% from the same quarter last year. This was due to higher client assets resulting from market appreciation and net sales of long-term mutual funds and higher contribution from our investment in American Century Investments. Private Wealth Management revenue of $46 million was up $17 million, mainly due to the contribution from our acquisition of Atlantic Trust, which closed on December 31, 2013. Non-interest expenses of $349 million were up $33 million or 10% from the prior year, largely as a result of higher performance-based compensation and the inclusion of Atlantic Trust. Net income in Wealth Management was $117 million, up $28 million or 31% from the same quarter last year. Slide 8 reflects the results of Wholesale Banking, where we delivered another quarter of strong earnings. Revenue this quarter was $594 million, up $56 million or 10% compared with the prior quarter. Capital Markets revenue of $330 million was up $51 million or 18% from the prior quarter primarily due to high-equity derivatives and foreign exchange trading revenue. Corporate and Investment Banking revenue of $250 million was up $4 million or 2% from the fourth quarter, largely due to higher corporate banking revenue, partially offset by lower revenue in our U.S. real estate business. The provision for credit losses was $2 million compared to a recovery of $1 million for the prior quarter. Non-interest expenses of $310 million in the quarter, up $41 million or 15% compared to the prior quarter, primarily due to higher performance-based compensation. Net income for Wholesale Banking was $215 million for the quarter, relatively flat to the prior quarter. CIBC's capital position remained strong, with a common equity Tier 1 ratio of 9.5%, up from 9.4% in the prior quarter. Risk-weighted assets increased by approximately $4 billion in this quarter due to the impact of the weaker Canadian dollar, implementation of the phasing of the credit valuation capital charge, mostly solid business growth offset somewhat by the Aero sale. To wrap up, we're very pleased with these results and the continued strength across our businesses. In Retail and Business Banking, good volume growth in core products, higher fee-based revenue and strong credit performance drove solid results. Our Wealth Management franchise delivered record results this quarter. Client assets grew 22% from last year, or 9% excluding the Atlantic Trust acquisition. And in the Wholesale Banking, our client-focused strategy delivered another quarter of strong consistent results. And finally, we increased our quarterly dividend by $0.02 to $0.98 per share. So thank you for your attention. And I would now like to turn the meeting over to Laura Dottori.
Laura Dottori-Attanasio: Thank you, Kevin. Good morning, everyone. So I'll be referring to the Risk section, which begins on Slide 12. You can see we experienced better-than-expected loan losses this quarter. Loan losses came in at $218 million, that's down 20% quarter-over-quarter. On an adjusted basis, the decrease was due to 3 main items: lower losses in FirstCaribbean, recoveries in Commercial Banking, and better-than-anticipated bankruptcy performance across our retail portfolios. Combined, these items made for very low loan losses this quarter. On Slide 13, you'll see an uptick in our growth impaired loans for the quarter. This is driven by the Caribbean, the majority of which is FX-related. That said, new additions or formations were down slightly quarter-over-quarter. Turning to Slide 14. On an adjusted basis, our net credit losses in cards continued to decrease in the first quarter. This was due to good bankruptcy performance, as I mentioned earlier, as well as the 1-month impact of the Aero sale. The calculated delinquency rate was higher in Q1 and that's due to the impact of the Aero sale. Bottom line, our cards portfolio continues to perform well. Slide 15 shows you our Canadian residential mortgage portfolio by region. Here, you can see that 46% of our portfolio is in Ontario, 20% of it is in B.C. and 16% in Alberta. The credit quality of this portfolio remains high, with a net credit loss rate of about 1 basis point per annum. On Slide 16, you see our Canadian residential and condo mortgage exposures. The insured portion of our portfolio is 69% and that includes condos, which account for about 11% of the total. 94% of our portfolio is insured by CMHC -- or sorry, the insurance is CMHC. And the weighted average LTV of our uninsured portfolio is 60%. And this is based on December house price estimates. Slide 17 shows our condo developer exposure. You can see that our authorized loans were $2.7 billion, that's down 10% from $3 billion last quarter; and our drawn loans were $798 million, that's down 13% from last quarter. And lastly, on Slide 18, you can see the distribution of revenue in our trading portfolios as compared with VaR. So we had positive results 98% of the time for the first quarter and that compares with 97% of the time in the fourth quarter of last year. Our average trading VaR was $4.4 million and that compares with $4.3 million last quarter. I will now turn things back to Geoff
Geoffrey Weiss: Thank you. That concludes our prepared remarks this morning. We will now move to questions. Operator, can we please have the first question on the phone.
Operator: [Operator Instructions] The first question is from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: Kevin, a point of clarification. Your prepared commentary, you talked about additional spend on the development of the card portfolio of about $40 million. Was that correct?
Kevin A. Glass: Yes, John, that's correct. And that's in line with what we've previously disclosed given what we've spent to date.
John Aiken - Barclays Capital, Research Division: Okay. Based on my calculations, you'd already spent the $50 million. So this to me looks incremental. Is my math incorrect?
Kevin A. Glass: No. I think that when we first spoke about the transaction going way back, we said that there'd be about $50-odd million relating to the launch of the Aventura card. And then as a result of the subsequent transaction with -- in Aimia, there'd be approximately another $55 million, $60 million. And so given what we've spent so far, there's about $40 million left to go, which will be spent mostly in the next couple of quarters.
John Aiken - Barclays Capital, Research Division: Great, Kevin. And can you let us know what the nature of these expenses are going forward? Is this -- are we now evolving into marketing costs?
Kevin A. Glass: No, it's not relating to marketing costs. These are primarily related to the development of the Aeroplan product and making sure that we can transition that effectively and support the new program as it moves forward.
John Aiken - Barclays Capital, Research Division: Great. Just one last one. The step down in the expected margins. Yes, I'm assuming that, that actually is a step function and not an erosion over time.
Kevin A. Glass: Yes, that's correct. That's a step function. As I've said, there were some portion this quarter and then there'll be another 5 to 6 basis points in the next quarter.
Operator: The following question is from Steve Theriault from Bank of America Merrill Lynch.
Stephen Theriault - BofA Merrill Lynch, Research Division: First, a couple of follow-up questions for Laura, if I could. Just trying to understand on the bankruptcy side in terms of sustainability. Is there reason to think that the bankruptcy rates are going to be much worse over '14? Like how -- is this a -- maybe this a bit of a blip relative to bankruptcy rates or it's just gotten better than maybe you would have modeled for? And also, on the Caribbean, you mentioned improved losses in the Caribbean. Anything unusual going on there, or it's just part of the turn in the Caribbean that's been slow in coming?
Laura Dottori-Attanasio: Well, Steve, this quarter, we had, as I mentioned, really good loan losses. And although the economic outlook remains stable and as you've seen our credit portfolio performance has been really strong, as it relates to the Caribbean, I think that's an area that's going to continue to be challenged. There's real weakness in that region and I think we're going to continue to see real stress on the loan portfolio there. Our commercial corporate portfolio, you saw this quarter, we had a recovery in Commercial Banking. Last quarter we had a loss of over $20 million. So that's a portfolio with event risk with lumpy results. And for our loan losses in Retail, we have seen really good bankruptcy numbers. It feels good. That said, we go back and look at our historical loan losses in this space, they haven't been this good since the first quarter of 2007. And so, I guess where I'm sitting out when I look to the future, I do think that higher loan losses really can't be discounted as a possibility.
Stephen Theriault - BofA Merrill Lynch, Research Division: Okay. That's helpful. For David, if I could, Gerry mentioned the success you've been having on the premium card offering. Hoping to get a little bit more detail. If you could talk about the immediate level of success you're having both with the revamped Aventura card and the revamped Aerogold card. Especially the Aerogold card, I'm interested in the growth in cards given the marketing restrictions you have with -- admittedly, limited track record, but I'd be interested in your immediate reaction, David?
J. David Williamson: Certainly, Steve. So yes, the sales -- first, we'll -- I'll step back and say, you know what, our objective here is to offer a choice, so it make sense that I speak to both the cards. So Aventura, for those that like optionality as to how they travel, sales have been great. Firstly, the penguin have certainly been a hit, caught the imaginations of our clients and consumers, generally. So the Aventura sales have been well beyond what we've planned and hoped for. So that's been strong right out of the gate. In the Aeroplan space, that started out slow. So through the end of the calendar year last year, sales weren't what we were looking for and I think there's -- the deals were being announced and there were some noise in the marketplace. But more recently, that's greatly improved and we're now tracking on Aeroplan sales above the levels we'd planned for. So in aggregate, that's -- it's worked, it's working. And that's, as Gerry pointed out, our travel card sales this quarter is the best quarter we've had in over a decade. And it's about, as you put it, Steve, both cards putting forward, both the Aeroplan card and the Aventura.
Stephen Theriault - BofA Merrill Lynch, Research Division: So there's still lots of pull demand on the Aerogold card even though it's not being as actively marketed?
J. David Williamson: Yes, there's full demand, but also push in the sense that when someone comes into any one of our touch points, telephone or branch or through any of the customer touch points, the process we're undertaking isn't have an Aventura. It's what client are you looking for, travel card or cash back, travel? Do you like to fly Air Canada? Do you like to have optionality? And therefore, it's not just pull, we're trying to put forward the product that would best meet the client need.
Operator: The following question is from Jason Bilodeau from Macquarie Capital Markets.
Jason Bilodeau: Just a question for David. I just wanted to get sort of your take on the temperature of the mortgage market in Canada and the pace of growth. Obviously, you guys are doing something strategic to move to your in-branch and getting great growth there. But how do you feel about the broader market in terms of the pace of growth? And specifically, do you think that it's wise that anybody needs to take a look at any other additional policy changes to try and curve the pace of mortgage expansion here in Canada?
J. David Williamson: Certainly, Jason. I'll have a crack at that. I think at this point, we're seeing kind of the right moves in the market. There's been quite a few policy changes. Interest rates remain low, but there has been that countervailing move in policy change over an extended period at this point in time. So from my own -- and I mean this as a personal perspective, I don't think there's additional moves necessary. And from our own bank, 15% growth is -- that could cause you to think maybe policy changes are required, but if you decomp that, there's parts that's coming in from the FirstLine conversion, which takes us to 11%, still really robust growth, but that's really a not industry thing so much as us taking steps to accelerate our ability to sell. So we are increasing our mobile advisors. We call them mobile advisors now because now they are enabled to sell more than just mortgages. We've got the technology with them to rolling out so that they can offer additional products. But that was a channel that we were not up to industry standards as far as the size and we're moving that forward. That's giving us a wind assist. So I think there's CIBC-centric reasons why we're seeing this kind of level of growth in mortgages. The overall industry looks like it's moving in the right kind of way, not a short, sharp kind of adjustment, more the soft landing that people are speaking of. So I'd say at this point, we're okay and that additional policy changes can be held as we just watch how things play out.
Jason Bilodeau: And so your view in terms of the market slowing appropriately, volume growth somewhere in the mid- to low-single digits for the year for the industry? Is that the type of pace you think is reasonable?
J. David Williamson: I don't know. Right now, we've been all collectively calling for that slowing for an extended period of time. It feels like it could be that or even a bit beyond that. But again, the interest rate declines that started a while ago kind of petered out. So and I think it's -- it might be stronger than that. But if we look for more of a mid-length of a cycle, it seems like it's heading the right way.
Jason Bilodeau: Okay. And then, sorry, one small follow-up question and I apologize if I missed this before. But in terms of the payments between TD and CIBC or vice versa, if there are some migration of clients, have you talked to us about when that sort of gets measured and when those payments are determined?
Gerald T. McCaughey: No. I don't think we have talked about that, but I'd be happy to do so now. So we're only 1 month in and then there's a period of time to evaluate the nature of payments. So even next quarter will probably too early to get a sense of what the payments might be. This would be a longer track record. So it might actually be 2 quarters out where we could say with any degree of certainty, here's how this looks like it's playing out.
Operator: The following question is from Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: When Royal Bank announced the sale of its Jamaican business, it came to my attention looking at other Jamaican banks that CIBC's Jamaican bank is similarly marginal in that market. Did you negotiate also with the buyer of Royal's business? And are you considering the sale of your Jamaican business as well? And following along the same lines, what shows up as other country net impaired loans, I presume that given your disclosure here, it looks like about 60% of that is other country. What other restructuring should we expect in the Caribbean? Is there any goodwill or other potential write-offs -- write-downs?
Richard W. Nesbitt: Michael, it's Richard. I'll start on the strategic side and then Kevin will talk about the goodwill and other matters. We did look at the, not intimately, but we did look at it from the distance, the Jamaican operation of RBC and decided it didn't fit -- it didn't add anything to what we have in Jamaica. The -- Jamaica is a large -- a relatively large island with large population and it will be -- it's -- in the future, it will become our main operating center. So Jamaica is an important part of our potential future growth, along with a couple of other islands in the Caribbean. I'll let Kevin talk about -- can I just mention the restructuring we're doing? As we talked about a couple of quarters ago, we've undertaken a downsizing of our staff and a number of other cost-reduction issues. That's well underway. We're well through that process right now. There's this -- there's a third stage that's currently being worked on and it's going very well. It's helping getting our cost down in the region. Kevin, over to you.
Kevin A. Glass: Thanks, Richard. So Michael, with respect to goodwill, we performed our last impairment test in Q4 2013. And at that point, we determined that the carrying value of our goodwill was adequately supported and we've disclosed in a lot of detail our tests. But what I'd say is those tests were based on forecasts, reflecting both the currently challenged economic conditions, but also an expected recovery in those conditions over the forecast period. And I think it's fair to say that the region certainly continues to be very challenged and we continue to monitor that situation very closely. So while FCIB, our Caribbean operation performed reasonably well in the quarter given the current economic conditions, an impairment to goodwill could occur if we change our expectations with respect to the timing and extent of the recovery. If were that to worsen, we'd certainly look at goodwill. But then obviously, important to note that if there's a goodwill impairment, it may impact on our rate capital because goodwill is currently deducted.
Laura Dottori-Attanasio: And if I can just weigh in, it's Laura, sort of the wet blanket, the risk view. As I mentioned earlier, we do expect to continue to see stress in that loan portfolio in the Caribbean. So I do think we'll continue to see economic weakness there as well. So we should just keep that in mind.
Richard W. Nesbitt: And can I could just clarify what my remarks were? So when I said -- we're, fundamentally, our largest base is in Barbados, Bahamas and Cayman. What I said was Jamaica will become our operations center, not our main center of operations. So I just want to make sure that's clear. Where we're -- we'll be processing in the future more in Jamaica than we do today.
Michael Goldberg - Desjardins Securities Inc., Research Division: Okay. Just maybe a couple of follow-ups. In looking at market share of the Jamaican banks, it looks like Royal made the decision to exit because they were marginal relative to other banks. As I've said, though, FirstCaribbean looks equally marginal in that market against the other Jamaican banks. So why would you continue to stay? And secondly, how much goodwill do you still have on FirstCaribbean?
Richard W. Nesbitt: So Michael, your analysis of our size relative to RBC is correct, but that doesn't leave us to make necessarily the same conclusion as RBC. Our relative size is about the same.
Kevin A. Glass: Michael, with respect to goodwill, I think we have just over $700 million.
Operator: The following question is from Meny Grauman from Cormark Securities.
Meny Grauman - Cormark Securities Inc., Research Division: My question is about deal outlook. A large competitor yesterday talked about how they're looking at a lot of deals, but pricing is not right and it's very challenging to make the math work. I'm wondering, as you look in the U.S. for further Wealth Management deals, what type of environment are you encountering?
Victor G. Dodig: Hi, Meny, it's Victor Dodig here. Just from the outset, our strategy in Wealth Management is to grow our earnings to 15% or more of CIBC's earnings and we are very much making progress along those lines. In 2012, we're at 9%. In 2013, we're at 11%. In this quarter, we're at 12%. As we grow from the 12% to the 15%, we see growth coming in our home market, accounting for about 1/3 of that growth. We've got scale in Canada. We can continue to grow by partnering with our retail bank to bring our clients the right level of investments, the right investment expertise to grow Wealth Management. As we look at the rest of the growth, we are focused particularly on the U.S. market. We've exhibited financial discipline and strategic discipline as we've made our investments in American Century and Atlantic Trust. They've both been performing well. And as we look at further growth initiatives, we would look in those areas of asset management and Private Wealth Management. Prices have gone up, but one thing we will always focus on is strategic fit and financial discipline over the medium term.
Operator: The following question is from Sumit Malhotra from Scotiabank.
Sumit Malhotra - Scotiabank Global Banking and Markets, Research Division: First question is for David Williamson, please. And I want to go back to the outlook for net interest margin. So David, if we take the comments earlier on the credit card impact going forward being an additional 5 or 6 basis points, I was hoping you could walk me through the so-called normal course trend that you see for NIM. It seems to have been a reasonable quarter for margins that we've obviously seen interest rates move lower in the last couple of months. And I also wanted to tag in the fact that you've had the benefit from the mortgage repositioning. So a few moving parts, just wanted to kind of get your take on maybe how much benefit is left from the mortgage repositioning, how long it takes from some of your own credit card efforts to come on board and what's happening in the market as a whole? Kind of a full question there, but an important line I was hoping you could help with.
J. David Williamson: Certainly, Sumit. Yes, I'll jump in on that. So let's go back to last quarter's conference call, that point in time and it came up in another question, too, a step change in net interest margins of about 10 basis points as a result of the change in the Aeroplan portfolio. So this quarter was a part quarter, 5-ish weeks after a transfer of value. So that's 4 basis points this quarter. So our underlying operations are up 2 basis points on a quarter-over-quarter basis, the continuing operations, if you will. And then next quarter will be a full quarter post-transaction and that will drop through another, as Kevin said, 5 to 6 basis points, again, a step change in NIMs. So to your question, Sumit, which is what's the underlying direction here, we have been guiding to kind of stable net interest margins and I've continued to guide us through that outlook. A couple of factors, though, that obviously are in play. One is the FirstLine mortgages. So that does help in our retention level for the continuing around 50%. And the margins are about double what we are getting in the broker channel. Which, just a side comment, it looks like what we'll do is take that $48 billion in balances, keep half of it, but end up with more net earnings once that process is over. But nonetheless, as far as coming back to the question itself, the net interest margins, that lifts it. Offsetting that industry factor is interest rates, as you pointed out, haven't been coming out. So that's still, on a year-over-year basis, is a grind. Less than what it's been in the past, but still -- so hence, that's why we kind of guide to neutral. Interest rates decline, still a factor, offset by the advantage we have in the FirstLine. Other factors are: we are competing, in a way, to be sensible in pricing, both in the mortgages. We're not -- we're certainly not the first to move on price decreases, but we try to be sensible on the pricing on that front. And on credit cards, we are looking to grow. We talked about Aventura and Aeroplan. Gerry mentioned the Tim Hortons card, which shows all the signs of being a very powerful and a good card. And we've got another one in the pipeline that we're working on. So as that builds, our credit card business from this space, is it builds that, as you put -- pointed out, soon, it will also help the margins going forward.
Sumit Malhotra - Scotiabank Global Banking and Markets, Research Division: Okay. So if I put that all together, I think the summary will be you'll have the reduction next quarter from the full-quarter impact of the sale and holding at that level in taking into account your benefit for the runoff versus the environmental as a whole would be a reasonable expectation?
J. David Williamson: Exactly right.
Sumit Malhotra - Scotiabank Global Banking and Markets, Research Division: Okay. And very quickly, a somewhat similar question for Richard Nesbitt. You've continued to post very strong growth in the corporate loan portfolio. I know that was a strategy you had espoused a few years ago and it seems to have gone very well. I just wanted to get a little bit of information from you. It's probably something we can dig up from the sub-pack, but how much of this corporate loan growth for the bank is taking place outside of Canada, if you had to put round numbers percentage-wise on it? And do you feel it's translated into additional investment banking or aggregate Capital Markets activity as well?
Richard W. Nesbitt: Okay. Yes, so you're right. We did talk about this going back 3 years ago now that we were intending to grow our corporate bank. And that goes back, of course, to the decision we made back in '09, where we were going to have a separate corporate bank separate from our investment banking and that's -- you're right, that's worked out extremely well. We are -- we do wanted -- we have wanted to grow in Canada. And we have grown in Canada, but we're still only #4 in Canada. So that would indicate to me that there's still some room to grow in Canada. About half of the growth you've seen has been outside of Canada. So that would be United States, which will be a combination of energy and mining and infrastructure loans and real estate, commercial real estate finance loans, which we do. Those are our main activities in the United States. And we really do try to stick to those activities. We've done some growth over in the U.K., primarily in infrastructure and energy; and some growth in Asia, primarily in infrastructure down in Australia. So we're going to continue on with that plan. It's worked very well. The core of the plan, though, is to sell additional products to the same clients we're selling -- we are providing credit to. And we've become very successful in our ability to cross-sell. So that is a key part of this whole strategy. I would say, though, that the pace of growth will slow over the next few years, but it will still continue to grow.
Operator: The following question is from Mario Mendonca from TD Securities.
Mario Mendonca - TD Securities Equity Research: A question on interchange. There have been some developments there in the budget. Is there anything you can offer on what your outlook is for how things could change? And -- or to the extent that you can offer any -- if you can size the revenue in the -- essentially, what's that risk here of interchange fees change?
J. David Williamson: Mario, it's David. There has been discussion. There's no confirmation of any change in the area. I think it'd be pretty speculative for me to comment on it. Obviously, if there's any changes in the future, they'd be industry-wide. But at this point, it's pretty -- it would be totally speculative.
Mario Mendonca - TD Securities Equity Research: And are you open to sizing it, how important interchange really is to the bank?
J. David Williamson: It's important to this bank and all the banks. I mean, why it's speculative is you've got all the banks that are players in credit cards, different -- the different degrees. But if there was any changes in this space, there's complexities to it. The interchange for MasterCard is different than what it is for Visa. It's different for big players in Classics than what it is for Premium. So that's why it'd really be probably not a good idea to focus on this too much at this point because you've got, will there be a change; and if there is, then you need to evaluate the different banks as to whether they're MasterCard players or Visa players, Classic or Premium, because it would impact the relative impact between the banks.
Mario Mendonca - TD Securities Equity Research: Okay. One other thing then, also on the budget. The captive reinsurance is now coming up. And I appreciate this is -- I've learned that this is touch issue with everyone, but I want to make sure I understand what's at stake here. The -- my -- I understand that the banks, for the most part, are reinsuring their creditor business. What will be helpful to understand is if CIBC reinsures or swaps out -- reinsures anything more than the creditor business, so is there credit cards that are insured and swapped out? What else is done besides mortgages?
Kevin A. Glass: It's Kevin. I think that, that level of disclosure is probably inappropriate. And I think it's pretty a fresh announcement, so we're still evaluating it. And we're still deciding -- trying to evaluate exactly what the impact is.
Mario Mendonca - TD Securities Equity Research: Okay, then, last, a different type of question for Laura. On PCLs, there are 2 dynamics that are playing out next quarter, it would seem. One is it can't be as good as it was this quarter and I think you've made that point. And the second is that your -- more of the cards are gone for the full quarter. When you put those 2 together, does Q2 feel, like from a PCLs perspective, more like Q4 2013? Maybe just some guidance on how those 2 dynamics play out together.
Laura Dottori-Attanasio: Well, as you know, we don't give forward-looking guidance. What I can say is this quarter feels very good. And perhaps, I've been in risk too long, but it feels too good. I continue to be concerned with the outlook for our Caribbean loan portfolio. As I said, commercial, corporate, lot of event risk there, very lumpy portfolio, not often we get recoveries in a quarter like we have this quarter. And then as it relates to retail, I mean, we had surprisingly low losses there. So I guess -- I've said it earlier, but I wouldn't discount higher loan losses as a possibility going forward.
Mario Mendonca - TD Securities Equity Research: Taking into account the sale of the cards as well?
Laura Dottori-Attanasio: Yes, taking that into account as well.
Operator: The following question is from Peter Routledge from National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Just a follow-up, David, to a comment you made earlier, which is you had mentioned, again, you had about 50% conversion at FirstLine and then double the margins and that's quite a positive result, as you pointed out. How are you achieving that? Is that demand-driven, i.e. are the FirstLine clients that you're converting, are they just much less price-sensitive than you thought? Or are you doing something with the offer that's just compelling or bringing more people in?
J. David Williamson: Peter, no, the big delta there is just that channel is really expensive. It's good for getting volume. It's never been very good for margins. And there might have been better days at some points in the past, but it's just a thin margin channel. So by taking people into the full-branded channel, it's not so much a different price point for the client, so much as just the avoidance of some of the friction costs through the other channel. As far as how we're getting the level of conversions we're getting, dedicated team that's there to reach out to clients when we think that they're at a point where they'll be evaluating their mortgage. We're using some analytics to try to figure out if they're price-sensitive and, if they are, we're calling earlier because they'd be thinking about it; if we think they're not, then we're calling later, so we're trying to be thoughtful on how we approach. And then we're getting continually better at welcoming those clients into CIBC. So an outreach from a local branch and an attempt to broaden the relationship. And that's gotten better over time as this process has rolled out. So I think we're now, I mean, all things being equal, pretty confident we should be able to run at a 50% retention level, which is better than what we had thought would be possible. The margin should keep at double because it's not a market-focused thing so much as a friction avoidance thing and expenses are down a hitch, too. So net-net, we should be able to go from $48 billion to $24 billion and have a better bottom line.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Yes. Just turning over on the Business Lending side. It's been -- growth in your Business Lending portfolio has been a little light the last couple of quarters. Is that demand-driven, or are you just pulling back a bit from the market?
J. David Williamson: Two factors. One, we are pulling back. So lending growth has been reduced as a result of our decision to pull back into specific area and that's commercial mortgage growth. So we're kind of holding that book flat. It's not -- if there's a relationship there, we'll be there in that book; if it's more commodity, we're not there because it's thinner margins. And that's definitely affected our growth. In addition, we transferred some clients and business units over to Wholesale Banks just because they're better to be in that book as things evolve and as clients evolve. If you adjust for those 2 impacts, our year-over-year growth rate is closer to peers. It's over 7% volume growth year-over-year if you adjust for those 2 factors.
Operator: The following question is from Darko Mihelic from RBC Capital Markets.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: First, just a clarification question. On Page 20 of your supplemental, I just wanted to clarify the movement in the gross impaired loans and residential mortgages by 10% quarter-over-quarter. Is that relating to the currency issue that you spoke about, Laura, or is that something else?
Laura Dottori-Attanasio: Yes. So there's some currency in there. And that's largely FCIB, largely in the Bahamas.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: And that would explain the -- most of that change? Would that be the correct way to think of that?
Laura Dottori-Attanasio: Yes, that's right.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: Okay. And then my second question, which is far more strategic, is a question with respect to the 50% retention of mortgages from the FirstLine channel. It's hard to believe that those are all CIBC clients in the full utmost way. Most of these would have come from the broker channel, think about your natural share. So I guess the question is why keep them? And if it's just pure margin on its own, it's a profitable product, that's great. But if it's not, the question is, can you actually convert these people to -- or deepen the relationship, as you so say it? What would it -- what would the potential success be of that and what's the upside to CIBC if converting them to making them full-on CIBC kind of clients?
J. David Williamson: Thanks, Darko. That's a fair question. It's -- the way we're looking at it is it's a great source of new clients to the bank because these clients, pretty much solely out of mortgage, we try in the early days to see if we could, under the FirstLine banner, build deeper relationships with them. But we weren't even selling a CIBC product, right? They had a mortgage that said FirstLine on the top. So they really didn't see themselves associated with CIBC in any way unless they read the fine print that said, "This mortgage is administered by CIBC." So this is really an opportunity to do exactly what you're talking about. Strategically, it's a source of a lot of clients that we'll introduce into the CIBC brand and there's an opportunity, but not a certainty, that we'll get deeper relationships with them. And in the early days, it was tough because the notice to the branch that someone is coming into CIBC to take the mortgage was slow. So we reached out too slowly with a client. So we've tightened that up. We've introduced bundles for those clients coming in. We now have a CIBC mortgage, if you have these other products, it's cheaper. And we've also, as part of that offered, as part of that bundle, lower costs, right? So it's trying to entice that deeper relationship. So you're obviously right. We're not getting 100% by any stretch of those coming in. But they now have a CIBC mortgage, they're now part of the family and we've got a solid shot of getting a deeper relationship.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: But I guess what I'm asking is what is the early success rate of getting another product into the hands of these people that you're bringing over that are not -- or were not "previously core CIBC customers"?
J. David Williamson: Right. So we haven't -- and I hesitate, too, because I'm not sure what the other banks' level of cross-sells are. So I hesitate to put out the achievement we're getting. All I can say is that it started out slow and it's improving as we move forward in getting those deeper relationships. We're actually learning in that space as to how to do it, bundles, outreach programs. And frankly, that's informing some of the stuff we're doing in credit cards, where we have direct sales and we now have historically, a lot of single-product clients. So now, as we look at Tim Hortons and other kind of activities, where we have new clients coming in, there couldn't be single products, unless we take action. We're trying to apply those skills, outreach calls, frequent interactions, bundles, offers to try to build that deeper relationship.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: Okay. And so, I guess, the last part of my question there was if you don't get upsell, if you don't get cross-sell, is the relationship profitable enough on its own to warrant keeping it?
J. David Williamson: Yes. Yes, that's clearly effective.
Operator: The following question is from Robert Sedran from CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: David, you mentioned the -- you're happy with the penguin, but all the banks have really been increasing their marketing spend and attempting to get some of this credit card business that seems to be in transit. I'm wondering if you can talk a little bit about the competitive environment, both from the perspective of what you're seeing on the credit stand? Are people losing credit to attract business? And also on the fee side, how much fee waiving is going on and discounting of fees in order to attract customers? And then maybe talk about how CIBC is reacting on both of those things? I'm curious with a lower credit card balance, are you more willing to take credit card risk to help grow that book?
J. David Williamson: Certainly, Rob. So you're right, it's a competitive environment, for sure. So we're actually within that environment. We're putting out a competitive offer as far as welcome points and fees. So we're staying competitive. The fact that inside that environment we've had the best sales quarter in a long time is causing us to feel good, is causing us to feel this choice offer is a good one. We've started out, as I've mentioned before, not where we wanted to be on Aeroplan sales, but that's now reversed and we're -- that's coming on, too. So we've got strong Aventura, strong Aeroplan within the context of this competitive environment. What we need to track is how those cards, those new card relationships develop because with the fee waivers and so forth, you could end up with empty cards. So what we've tracked so far is the cards we've been selling have been developing per historic standards. So that's good and we'll need to continue to monitor if that's the case. As far as credit risk, we have not adjusted our policies to lower the standards to which we operate. Be happy, Laura, to jump in and confirm that. But that's not the basis upon which we're competing.
Robert Sedran - CIBC World Markets Inc., Research Division: You don't get the sense that, that's happening at all in the marketplace, either it seems to be more on points and features -- and fees? Sorry.
J. David Williamson: For sure, from my perspective, it's features, it's advertising, it's welcome points and fees, is the basis upon which people are competing.
Operator: That is all the time we have for questions today. I would like to return the meeting to Mr. Weiss.
Geoffrey Weiss: Thank you, operator. That concludes our call. If there are any follow-up questions, please don't hesitate to call Investor Relations. Have a good day.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.